Operator: Welcome to MasTec's Third Quarter 2011 Earnings Conference Call, initially broadcast on November 4, 2011. Let me remind participants that today's call is being recorded. At this time, I'd like to turn the call over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc?
J. Marc Lewis: Thanks, Jenny. Good morning, everyone. Welcome to MasTec's Third Quarter Earnings Conference Call. The following statement is made pursuant to the Safe Harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communications, we may make certain statements that are forward-looking, such as statements regarding MasTec's future plans, results and anticipated trends in the industries where we operate. These forward-looking statements are as the company's expectations on the date of the initial broadcast of this conference call, and the company will make no effort to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the Securities and Exchange Commission. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from these, which are expressed or implied in these communications. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings release or related SEC filings or on the Investor Relations section of our website at mastec.com. With us today, we have José Mas, our Chief Executive Officer; and Bob Campbell, our Executive Vice President and Chief Financial Officer. The format of the call will be opening remarks and analysis by José, followed by a financial review from Bob. These discussions will be followed by a Q&A period, and we expect the call to last for about 60 minutes. I'll now turn the call over to José so we can get started. José?
Jose Ramon Mas: Thank you, Marc. Good morning, and welcome to MasTec's 2011 Third Quarter Call. Today, I will be reviewing our third quarter results, providing my outlook for the markets we served, and providing color on both the fourth quarter and 2012 guidance. First, some third quarter highlights. Revenue for the quarter was $865 million, a 37% increase over the prior year's quarter. EBITDA was $80 million, compared with $73 million in the prior year's quarter. EPS was $0.36 versus $0.35 in last year's third quarter. Net income was $32 million versus $30 million last year, and backlog was up nicely to $3.1 billion, our highest level ever, and the bidding project pipeline remains strong, which I'll cover later. During the third quarter, we again demonstrated our ability to grow the company by posting another quarter of year-over-year revenue growth of 37%. This now marks 7 consecutive quarters where our year-over-year quarterly revenue growth rate has exceeded 28%. During the third quarter, our growth was broad-based. On a year-over-year quarterly basis, our pipeline revenues grew 57%, that's despite having significantly less revenue from the Ruby pipeline on a year-over-year basis. Our Wireline business -- our wireless business grew 49%, our install-to-the-home business grew 35%, our telecommunications Wireline and Electrical Distribution business grew 24%, and our Transmission and Substation business grew 262%. This was offset by a decline in our Renewables business of 47%. We are very pleased with our ability to grow revenues and how we have positioned the company to take advantage of the opportunities in multiple end markets. We are seeing and believe we will continue to see an increase in the opportunities available to us in the markets we serve, and we are very bullish about our ability to grow the company over a sustained period of time. While we are pleased with our growth, we are disappointed by our margin performance in the third quarter. Although we achieved our earnings guidance numbers, performance could have and should have been much better. EBITDA margins were lower than expected, primarily for 2 reasons. First, severe rain, floods and ground saturation in Pennsylvania and West Virginia have had a significant impact on our ability to perform work on 3 major contracts in the Marcellus Shale. This negatively impacted margins in our pipeline business by about 250 basis points. Unfortunately, the conditions have not improved and we expect it to have an even greater impact in the fourth quarter. We'll discuss that later. And second, our wireless margins were lower than expected, as we had very aggressive construction milestones that we needed to achieve for our primary customer during the third quarter. Although we turned in a solid performance, it came at the expense of margins. Wireless margins were negatively impacted by about 300 basis points. Again, while we're pleased with our growth in performance in the third quarter, we can perform much better from a margin perspective. Now, I would like to cover some industry specifics. Our communications revenue grew 37% over last year's third quarter to $477 million. This increase was driven by double-digit growth in all of our communications markets, including install-to-the-home, wireline and wireless. In our install-to-the-home business, revenue from DIRECTV was up 17% organically or up 35%, including our recent Halsted acquisition. Halsted was a service provider for DIRECTV covering portions of the Northeast that we acquired in late June. The integration of this acquisition into our existing DIRECTV business is progressing ahead of schedule, and we expect to see significant improvement in Halsted's results in 2012. Our Wireline business experienced another strong quarter with solid double-digit growth. Stimulus awards have continued to increase, and the pipeline of projects remain strong. We have received almost $130 million of contract awards to date and are currently negotiating final contracts on approximately $80 million of additional projects. We continue to believe this will be a source of growth for the next few years. Shifting to wireless, we experienced tremendous growth during the quarter, with revenues up about 50% from a year ago. We were challenged during the quarter in meeting very aggressive build plans. In early 2011, the full year build plan changed due to the T-Mobile acquisition announcement. Parts of the plan were deferred and others were accelerated, causing us to change the skill set requirements of our workforce. While we feel we are now better positioned than ever to take advantage of the growth opportunities in this business, it has come at the cost to margins in the short-term. Based on the acceleration of this year's build plan and some uncertainty around the T-Mobile acquisition, we are expecting, a decrease of about 20% in fourth quarter revenues versus the third quarter for our primary customer in this market. Despite the fourth quarter slow down, 2012 should be another very strong year for the wireless industry as the rollout and expansion of 4G accelerates. We expect considerable growth in this market in 2012. Now, I would like to cover our Utility business. Our Utility revenue grew by 38% over last year's third quarter to roughly $376 million. This increase was led by 57% growth in our pipeline unit and over 260% growth in transmission. These growth rates were partially offset by a 47% reduction in our renewable revenues. Our oil and gas pipeline business experienced year-over-year growth of 57% despite lower year-over-year revenues from the Ruby pipeline project. We did a great job of replacing backlog in the business, and we entered the second half of the year with excellent revenue visibility. We continued to enhance our market presence in the various shales. Over 70% of our pipeline revenues for the quarter were generated in shale basins across the country. The Marcellus Shale is a strong contributor to our business and an area where we are doing and have completed a substantial amount of work. Unfortunately, starting late in the third quarter, we experienced severe rains and floods, which impacted a number of our projects, access roads and equipment yards. As previously discussed, this had a negative impact on third quarter revenues. Today, many of these areas remain saturated and under water, and on a number of projects we have suspended work until conditions improved. This is impacting both revenue and earnings in the fourth quarter. We expect to re-mobilize on these jobs in early 2012. As it relates to our transmission and substation business, revenues were up due to our EC Source acquisition and strong organic growth of about 50% in our legacy transmission business. We have guided to approximately $200 million in transmission revenues in 2011, with about half of that coming from EC Source. Ruby [ph] Pipeline remains robust, and includes a number of very large opportunities. The outlook for our electrical distribution business is strong. Moving to renewables. 2011 continues to be challenging. Revenues for the quarter were down 46% year-over-year. The good news is that we have seen a dramatic change in anticipated activity levels for 2012. A number of large developers, traditional MasTec customers, are now significantly accelerating wind projects for late 2011 and 2012 to qualify for expiring tax credits. Based on those signed contracts and verbally awarded projects, we will enter 2012 with the highest level of revenue backlog ever. We now have awards of approximately 1,500 megawatts of wind for 2012. Also, over the last 2 months, we've signed contracts and received verbal awards for $100 million of solar projects that will kick off in late December with 2012 completion dates. These awards represent more than 25 megawatts of solar construction. We're also very bullish on our industrial and power business for 2012 and beyond. We expect our renewable business to more than double revenues in 2012, compared to 2011. I would now like to comment on fourth quarter guidance. Most of our businesses are going to have a good fourth quarter profit-wise. But as we mentioned in our press release, we have margin challenges in 2 of our businesses: pipeline and wireless. In pipeline, we have significant margin challenges related to 3 significant jobs in the Marcellus Shale basin, where severe rain and wet terrain are having a dramatic negative impact on our productivity and margins. Our Marcellus pipeline operation had a brutal September after Hurricane Irene and Tropical Storm Lee. Additionally, in the fourth quarter, we've had continued severe rains and last weekend a major snowstorm. It will be a very difficult quarter unless the Marcellus area dries out more than we expect. I view pipeline as mostly a productivity and margin problem, even though we're having to deal with the utilization impact of a fourth quarter $100 million sequential decrease in pipeline revenue. In wireless, we now see fourth quarter revenue as lower than we expected and down $40 million sequentially, which will clearly hurt utilization and margins. In addition, we are keeping extra people around to close out the work and be ready for what we believe will be a very strong 2012. The revenue and productivity challenges in these 2 businesses are having a negative impact on margins, and we are now estimating fourth quarter EBITDA margins at about 6.9% to 7.6%. Again, we're disappointed with where we think we'll end up in Q4. However, we believe that visibility into 2012 is extremely high, and we are very bullish on both our ability to continue to grow revenues, as well as in our ability to improve margins. We expect double-digit organic revenue growth in 2012 and double-digit EBITDA margins. Overall, the markets we serve are improving. There is an increasing number of broad-based opportunities available to us, and we have never been in a better position to take advantage of that. I would now like to turn the call over to our CFO, Bob Campbell, for the financial review. Bob?
C. Robert Campbell: Thank you, José, and good morning. Today, I'm going to cover 4 areas: third quarter financial results, fourth quarter earnings guidance, cash flow and liquidity, and I have a few comments regarding our new bank credit facility. Once again, we had another good quarter as a part of a very good year despite a challenging economic environment. Before we start, I want to remind you that the second quarter results included a gain from exercising our option to purchase the 67% of EC Source that we did not already own. Exercising this option resulted in a noncash remeasurement gain related to our initial 33% investment in EC Source in 2010. The pretax gain was $29 million and $17.7 million after-tax or $0.20 per fully diluted share. In order to have more meaningful year-over-year comparisons, I have excluded this $0.20 per share other income or gain item from all the earnings numbers in my remarks about either year-to-date or full-year results. Therefore, I will be discussing adjusted earnings figures, which exclude the remeasurement gained. We have provided adjusted numbers on the tables attached to our press release and in our SEC filings. Our Q3 highlights are as follows: Q3 revenue was $865 million, up $233 million or 37% versus last year. Q3 organic or nonacquisition revenue growth was up $119 million or 19%, so we have now had double-digit organic growth for each of the last 6 quarters. Q3 EBITDA was $80 million compared to $73 million a year ago, an increase of 10%, and year-to-date adjusted EBITDA is up 36%. Fully diluted earnings per share was $0.36 compared to $0.35 last year. The Q3 story is about terrific revenue growth, partially offset by challenged margins, which I will cover later. Q3 was the 16th quarter in a row that we have matched or exceeded our guidance. We're trying to provide good information about how we're doing and what we expect to happen especially looking one quarter out. Now for the Q3 details. First, I'll cover our communications markets. Q3 communications revenue was up 37% compared to last year. Install-to-the-home revenue continues to surprise us with better than expected growth. Our Q3 revenue was up 35%, which included our Halsted acquisition, which closed with a June 30 effective date. Our Q3 organic growth without the Halsted acquisition was 17%. We have previously mentioned that Halsted was a fixer-upper and without much earnings contribution until 2012. However, we're encouraged by our progress in integrating Halsted, and we expect to steadily improve Halsted margins during coming quarters and achieve margins approaching our legacy DIRECTV business by the end of next year. Wireless revenue in Q3 was up $60 million or 49% over last year, and Q3 was our highest revenue ever in wireless. 3G upgrade work was the largest part of our volume in Q3, and that will be true for the full year as well. Next year, in 2012, 4G LTE work should be a bigger part of our volume, although we will still be doing a substantial amount of 3G work and normal maintenance plus the new generator work. We mentioned 2 quarters ago that we had won a large 35-state generator project, but there's very little Q3 and Q4 revenue related to the generators and the ramp up really begins in 2012. Our telecom wireline revenue and electrical distribution revenue were both up again in Q3. Both markets are handled by the same management team. That's the fourth quarter in a row that telecom wireline has been up and the third quarter that electrical distribution has been up. Broadband stimulus work was over $20 million in Q3. Now I'll cover our utilities or power markets. Q3 for utilities was up 38% compared to last year. Q3 pipeline revenue in total grew 57% in the third quarter, and the organic growth, without the recent Canadian Fabcor acquisition, was 33%. As José mentioned, over 70% of our pipeline revenue was in the various shale basins, especially in the Marcellus, Eagle Ford and Bakken shale basins. During Q3, we had major weather-related challenges in the Marcellus Shale Basin with extraordinary amounts of rain, and we continue to have locations underwater. The resulting wet terrain has very negatively affected our revenue and especially our productivity and our margins. I'll talk more about Northeast weather effects when we talk about margins and guidance. Our electrical transmission business is now showing excellent growth, more than tripling in Q3 over last year. The growth was a combination of better than 50% organic growth in our legacy business and the addition of EC Source revenue this year, where much of the revenue is coming from our large PacifiCorp project in Utah. In total, our transmission and substation revenue was up 262% from Q3 a year ago. Renewables had a disappointing Q3, with revenue down 47% and with poor margins. Volume has been an issue all year for renewables. José mentioned significant amounts of new wind and solar work, but most of it will happen next year. As José mentioned, we currently expect a banner year in 2012 for the renewables group, given all the recent contract awards. For your information, what we call our renewables group also does power generation, industrial construction and oil and gas facilities work. Q3 gross profit margin was a disappointing 13.9%, versus 16.4% last year, primarily as a result of 2 significant factors: first, severe rain in the Northeast, which crushed our Marcellus Shale profitability and reduced our pipeline margins by an estimated 250 basis points; and second, inefficiencies in wireless, related to achieving our primary customer's build plan, which we estimate were a 200 basis point drag on wireless margins. We're not ready to give 2012 guidance today, but we do expect to bounce back to double-digit EBITDA margins in 2012 based on better margins in renewables, wireless and from our Halsted DIRECTV acquisition, and we don't expect a repeat of the horrendous northeast Marcellus weather that we have had this year. Q3 depreciation and amortization expense of $19.9 million was up $5.1 million from Q3 last year, reflecting higher CapEx and growth in fixed assets, and higher intangibles amortization from the recent acquisitions. Depreciation and amortization as a percent of revenue held steady at 2.3%. Net interest expense for Q3 was $8.9 million compared to $7.3 million last year, mostly due to the new $1.2 million of phantom or noncash interest cost associated with our convertible note exchange. However, as a percent of revenue, interest dropped from 1.1% down to 1%. Our Q3 G&A expense was $39 million compared to $31 million a year ago. As a percent of revenue, G&A dropped from 4.9% last year down to 4.6%. Our trend line regarding G&A has been very good. We have been improving as a percent of revenue for almost all of the last 15 quarters with just a few of the quarters flat. To summarize what happened in Q3, we have much higher than forecasted revenue and 19% organic growth, but much of the revenue increase was offset by lower gross margin, resulting from the factors that José and I have covered. I mentioned earlier a 10% increase in EBITDA for the quarter, and we had a 2.9% increase in fully diluted EPS. It's also worth noting that Q3 net income was up 6.1%. For the third quarter of 2011, the 10 largest customers were DIRECTV, which was 25% of total revenue; AT&T, 22% of total revenue; Talisman Energy, 5%, that's Marcellus Shale work. ; Energy Transfer Company, 5%, that's Eagle Ford Shale work; PacifiCorp, 3%, that's an EC Source job in Utah; Dominion Virginia Power, 3%, that's Marcellus Shale work; El Paso Corporation, 3%, the majority of that was the final revenue for the Ruby pipeline project; Spectra Energy, 3%, that's a Fabcor gas facilities job in Canada; DCP Midstream, 2%, that's Eagle Ford Shale work; EQT, 2%, that's Marcellus Shale work. Regarding diversification, our top 10 customers now include one satellite television customer, one telecom customer, 7 pipeline and gas facilities customers and one electrical transmission customer. Let me talk for a minute about our revenue mix. We split our revenue into 2 categories. First, we have a very large base of generally recurring revenue coming from what we call master service agreements and similar contracts, and for Q3, that was 62% of total revenue. And second, we have revenue for onetime, non-recurring construction projects, and for Q3 that was 38% of revenue. Therefore, we have a very large and pretty stable revenue base from Master Service Agreements and similar contracts. More disclosure about our contracts is in our 10-Q. At September 30, our backlog was a record $3.1 billion, and that's an 18-month backlog number. We're excited about our backlog growth and also about the contract signings and informal awards that we've had since September 30. The comparable backlog number for Q3 a year ago was $2.3 billion, and it was $2.9 billion last quarter. Please note, that well over 50% of our revenue comes from master service agreements or similar contracts, and our backlog includes an estimate of the next 18 months of revenue from those contracts. Now let me talk about our cash flow, liquidity and our new bank credit facility. Year-to-date, net cash flow used for operating activities was $40 million compared to $101 million provided by operating activities a year ago. And at September 30, cash was $16 million, and our liquidity was $477 million. A year ago, cash was $120 million and our liquidity was $237 million. We define liquidity as net cash plus availability on our bank credit facility. First, let me talk about our liquidity, and then I'll cover the individual cash flow items. Liquidity is up dramatically because of a very large increase in availability coming from the new $600 million bank credit facility that we put in place in August. Availability from our credit facility at September 30 was $484 million, and that's dramatically more than the $136 million last year under that prior credit facility. The biggest use of cash of this year was our growth in accounts receivable, which were up $289 million versus last year. Part of the increase in accounts receivables is due to our 42% growth in revenue this year, but in addition to the growth, our DSOs or accounts receivable days sales outstanding have gone from 56 days at year end 2010 to 76 days at September 30, and every day is worth over $9 million to us. The December 2010 56-day DSO level was artificially low due to some unusually favorable payment terms on major projects that have since been completed and with one MSA customer where we have since had a slight unfavorable changing payment terms. The biggest driver on the DSO increase this year has been our wireless business, where we have had delays in closing out projects and getting billing approvals. We expect to clear out most of the this building backlog this year, but clearly, a fair amount of the actual cash payments will come after 12/31. Therefore, we currently expect that year-end DSOs will be in the 70-day range, well above our sixty-day long-term target. Inventory is up about $37 million year-to-date, and that's mostly wireless growth plus some growth for DIRECTV. Another significant cash item this year has been for acquisitions. We made 5 acquisitions in Q2 using $41 million in cash. Acquisition earn-out payments this year totaled about $45 million. We have now made all of the acquisition earn-out payments that we need to make this year. We currently expect that next year's earn-outs will be significantly lower in the $30 million range. Our 2 big earn-out payments historically have been for Nsoro, our wireless business and for DirectStar, our DIRECTV sales business. We bought out most of the Nsoro earn-out last December, and we currently expect the DirectStar sales option will be exercised in the second quarter next year. The DirectStar sale option can be exercised at the sole discretion of our optioning. We have had $57 million in capital expenditures year-to-date. The comparable year-to-date number last year was $23 million. The increase is primarily due to additional equipment for our shale basin pipeline work plus IT upgrade costs, especially for our wireless business and in covering the CapEx needs for the 5 acquisitions we made in Q2. And there was some acceleration of CapEx this year to take advantage of the 100% bonus depreciation we get for 2011 expenditures. We are now raising our 2011 full year CapEx estimate to $65 million. We ran the bank credit facility slightly at quarter end with $27 million outstanding, but we currently expect to be out of the revolver at year end when we have better collections. In August, we renewed our bank credit facility for 5 more years, expanded it to a $600 million facility versus the old $260 million facility and changed it from asset-based to a cash flow type credit facility. The interest rates subject to a grid is LIBOR plus 200; the old deal was LIBOR plus 225. Covenants are also more favorable than our prior deal. And finally, the unused line fee is now only 35 basis points subject to a grid, compared to 75 basis points unused line fee in the old facility. So it's relatively inexpensive to carry a larger and at times unused facility. During the third quarter, we bought back a very small amount of stock, and we also have bought back small amounts in the fourth quarter. You may see us buy back additional shares in the future. As we noted in our press release, we have adjusted our fourth quarter and full year guidance. The change in guidance is primarily as a result of 2 factors. One, we will take another big earnings hit in Q4 related to continued rain in the Marcellus Shale, and that's on top of the hit we took in Q3. Also, we have recently seen softer wireless revenue in Q4 than we previously expected with the related margin impact, plus we have the margin impact of the extra people for closeout work. We now expect full year revenue of $2,910,000,000, adjusted EBITDA of $255 million to $260 million and adjusted fully diluted EPS of $1.04 to $1.07. 2011 revenue of $2,910,000,000 is an increase of 26%, up from $2.3 billion from 2010. 2011 adjusted EBITDA of $255 million to $260 million is an increase of 6% to 8% over $241 million a year ago. EBITDA margin for the full year will be between 8.8% and 8.9% versus 10.4% last year, and adjusted EPS of $1.04 to $1.07 compares to $1.05 last year. The tax rate on our adjusted earnings in our 2011 full year guidance is 38.75%, and the amortization of acquisition-related intangibles is about $14 million. Now let me cover Q4 guidance. We expect Q4 revenue of about $675 million compared to $731 million last year. That's an 8% decrease, and it reflects the Marcellus rain impact, lower-than-expected Q4 wireless volume and tough comps related to a full bore Ruby pipeline project last year. We expect Q4 EBITDA of $46 million to $51 million compared to $88 million last year, and we now expect fully diluted EPS of $0.12 to $0.15 cents compared to $0.44 last year. Regarding share count for EPS purposes and the noncash interest expense on our P&L, I suggest that you refer to Footnote 2 and Footnote 9 in our 10-Q for details to our calculations. For your models, I would use about 90 million shares for Q4 and about 88 million shares for the full year of 2011. Please note that the share count can go up above the levels I just mentioned if our stock price continues to go up. In summary, we had another good quarter in the midst of a soft economy and some very tough headwinds. We are encouraged by our organic or non-acquisition revenue growth and by our broad-based revenue and EBITDA growth trends. We expect that 2011 will be a good year driven by full year strength in wireless, pipeline, install-to-the-home or DIRECTV and electrical transmission, and we believe the outlook for 2012 is clearly far better, especially regarding margins. We are pleased with our backlog, and also about subsequent contract signings and informal awards from our customers. And while we are not providing 2012 revenue and earnings guidance yet, we can say that we expect to see another year of double-digit organic revenue growth and a bounce back to double-digit EBITDA margins. That concludes my remarks. Now, let me turn the call back to the conference operator for the Q&A session.
Operator: [Operator Instructions] At this time, we'll go to Andy Kaplowitz with Barclays Capital.
Andy Kaplowitz - Barclays Capital, Research Division: José, can you give us more color on what's happening with AT&T both in 3Q and 4Q? Maybe how much of the lower guidance in 4Q was AT&T versus Marcellus in terms of EPS? It seems like more of it was Marcellus. And then your visibility around AT&T spending in 4Q and in 2012.
Jose Ramon Mas: Sure, Andy. I think when you look at 2011 on a full year basis, we're going to end up having a great year in the wireless business from a revenue perspective, from a growth perspective, from the ability for us to meet our customers' demands. We're obviously in this for the long term. And I think we've positioned ourselves really well for what we think is going to be a great partnership for a long time to come. You know, when we look to Q3 in particular, it was a tough quarter for us. We had a lot of issues internally in terms of managing the work volume that we had. We were stressed. We've gone through now a couple of years of sustained growth, of dramatic growth. We had again dramatic growth in Q3, and at times do -- we kind of -- I feel it's almost the same thing we went through with DIRECTV a couple of years back, where we were undergoing years of substantial growth and we knew at the time that we weren't as efficient as we needed to be. And as that growth began to normalize, margins went up, and they went up pretty dramatically. And I think we're in the same place in the wireless business, where we really reacted to significant growth. We've thrown bodies at it to get through, and we're going to get a point where that growth begins to -- from a percentage basis, become more manageable, and we're going to become more efficient. And I think we're closer to that today than I think we've ever been. I think we're extremely well positioned for the volumes that we expect for 2012, and I think this was a year and not only meaning a tough '11, but in getting ready for what we think is going to be an even bigger '12. So when we look at Q4, in general, if we were just going to round and throw some numbers on it, we see earnings in our wireless business probably down about $10 million and in our pipeline business about $20 million. And that's pretty much the difference between where we think we'll end up in Q4 versus where we had originally guided. So some of it in wireless; obviously, the pipeline issues are a much bigger issue. We're pretty much going to have substantially less volume there than we had expected. If you would have asked me a month and a half ago, I would've said that we're going to have a blowout Q3 and a great Q4. And even with the wireless issues that we had in Q3 that we knew about that we were living through, had we not had the issues at the Marcellus area for weather, we would have had a blowout quarter. So 2 issues, I think we'll get through them. Again, think we're very bullish about 2012 and what we're seeing in the volumes and the activity levels that we expect.
Andy Kaplowitz - Barclays Capital, Research Division: José, just to press you on that a little bit, I think the Marcellus stuff is pretty transitory. The wireless stuff, we've heard from some other companies, that AT&T had strangely pulled back a bit in spending. I mean, is this a MasTec problem in the sense that you guys just have had explosive growth or was this that AT&T strangely pulled back a little bit on you unexpectedly? I'm just trying to figure out sort of what happened in that sense.
Jose Ramon Mas: I think it's a combination. But no question that we had problems, right? I think a lot of this is internal to MasTec. We had issues in terms of managing the business levels that we had in Q3. Those are internal issues. Those are MasTec issues that we need to fix, that we will fix, that are completely within our control. And I would say that, that's the majority of it. In Q3, I mean, there was no AT&T issues in Q3. All of the Q3 issues were issues to MasTec. When we look at Q4, based on some of those issues that we had in Q3 that some of them will go into Q4. To some extent, we've obviously staffed up for a different level of business, which is going to impact margins and utilization in Q4. The volume is lighter than we expected. There's a how to work, I mean, the work plan for '12 is bigger than it was for '11. There's are a lot of work that we're expecting to be released at any period, and when it does, and when it's funded, we're going to be back at pretty active levels. I think that they've had a big year, they've got a big CapEx spend and they are getting into the end of the year, and I think they're managing it tighter than we've seen them manage it in the past.
Operator: And we will hear next from Peter Chang with Crédit Suisse.
Peter Chang - Crédit Suisse AG, Research Division: José, in the press release, you guys talked about significant subsequent awards to the close of September 30. And plus, you had a record backlog as of the quarter end. Can you talk about how maybe that has grown? I mean, it could probably help give us some greater visibility into 2012, and I appreciate you not giving 2012 guidance yet. But double-digit organic growth, I mean -- is there any more color around that comment that you can give us?
Jose Ramon Mas: Well, I think, in our script, we talked a lot about it. We believe that the renewable business will more than double in 2012 versus where it was in '11. A lot of that wind and solar business that we've been awarded here lately was not in our backlog numbers, so a good chunk of all of that business is not currently reflected in the backlog numbers that we've provided because that was as of September 30. We subsequently won a lot of work in those markets. And at the end of the day, our activity is strong. I think the one thing about 2011 as we look back, we don't have a revenue issue. We can find revenue, we can win work, we think we've really repositioned ourselves in the industries that we service, and I think today we're a leader in the businesses. And we're not going to have an issue being awarded work. Our issues, as it relates to Q3 and Q4, is our ability to execute and our ability to get optimal margins in the margins we won, that's where we really focus on today.
Peter Chang - Crédit Suisse AG, Research Division: Right. That brings me to my follow-up questions on '12 EBITDA margins. They're going to be up in the double digits. I imagine pricing has got to be improving in the natural gas pipeline business with the Keystone being awarded. Assuming that moves forward, DIRECTV is probably similar. Assuming you fixed the issues with AT&T, and then transmission is going to be a larger part of your mix, and that's a higher margins business. I mean 2012, is it feasible to expect margins to be higher than the peak that you guys saw in 2010?
Jose Ramon Mas: Look, when we look at margins for '11, again, we're disappointed. We've got some room, we've got a call back in to get back to 2010 margins. When I look at the issues that we've had here at the end of Q3 and for Q4, they're not pricing issues. We don't believe that this is a pricing issue. We don't believe that this is contracts that we've bid in properly or we didn't bid with the right margins. We don't think this is a market issue where prices have been driven down and we've had to lower our prices to continue to build backlog. We don't believe that's the case. We think that the issues that we faced in the last 3 or 4 months of this year are more related to specific issues that we think are a lot more fixable than having to deal with market pricing issues. There's no question that the businesses that we've grown into over the course of the last few years and where we think the substantial amount of our growth is going to come from are better margin businesses, which will ultimately drive up the margins of the total company. Obviously, we're not in a position to give 2012 guidance yet, but I thought, based on what we we're going to say, in both Q3 and about Q4, it was important to give some color on 2012, at least where our mind is right and what we think we'll achieve. And we've put out -- when we say double-digit EBITDA margins, and you can obviously imply 10%, we think we'll get there, and we don't think it's that much of a tall order. But again, we're a lot lower than that in Q4, and we didn't deliver in Q3, so we got to get there.
Operator: And we'll go next to Min Cho with Friedman & Billings, Ramsey.
Min Cho - FBR Capital Markets & Co., Research Division: So obviously, the Ruby pipeline project is finished. Can you tell us if there was -- did the completion of the project result in any lingering expenses that had to be absorbed in the quarter?
Jose Ramon Mas: No.
Min Cho - FBR Capital Markets & Co., Research Division: Okay, that was easy. Can you tell us how much of the backlog growth in the quarter came from the Halsted acquisition since that was not included in the second quarter?
Jose Ramon Mas: Min, I'll get you that number here in a second. It was roughly $100 million.
Min Cho - FBR Capital Markets & Co., Research Division: Okay, I figured. And then finally, I know you're not providing any specific guidance, really. But for the first quarter, it's usually a seasonally weak quarter for you. Do you expect that some of these issues that you're seeing in the fourth quarter could carry into the first quarter and exacerbate the normal seasonality across the board? Right, because Marcellus -- because you're going to be going into a pretty cold winter weather for the Marcellus, and kind of given the unpredictability of AT&T right now, even there could be a continuing issue into the first quarter?
Jose Ramon Mas: Min, we don't think so. Obviously, Q1 is a challenging quarter for us. We've got a lot of Ruby work that we did in Q1 of 2010, which will make Q1 of 2011 a more difficult comp. So I think we obviously have much better visibility as we look at all of 2012 than just looking at the first quarter. We know that our renewables business is going to be up substantially in Q1 versus where it was in last year's Q1. Based on the pipeline work that we've got in backlog and where we know we'll be able to work, and some of that will be -- this is not strictly a -- we don't have an issue working in the snow. We've got more of an issue working in areas that are flooded, right? And that's more of the issue that we're having right now. The snow is actually not necessarily a bad thing; it might end up being a good thing as the ground hardens up. But there's no question that the snow does affect our business and it does affect where we can work in Q1. So we've got some businesses that we think will perform a lot better than they did in last year's Q1, and we've got others where we'll be challenged like in the pipeline business, particularly because of the Ruby work. I think Q1 is going to be a decent quarter, not a great quarter, but I think we've got great visibility into '12, and we think it's going to be a great year.
Operator: And we will hear next from Tahira Afzal with KeyBanc.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: I was just going over the numbers that Bob gave earlier on, and correct me if I'm getting something wrong. But did you say that essentially from Marcellus and the wireless, your aggregate margin hit was over 500 basis points?
Jose Ramon Mas: No. Those were -- I think it was 250 basis points in the pipeline business, only in the pipeline business, not total company, and 300 basis points in the wireless business. Just for those businesses. Aggregately, in Q3, it was just over -- it was probably 120 basis points or so for the whole company.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Ah, okay, got it. Okay. That makes much more sense, okay. As you look at 2012, you are sort of qualitatively guiding us on how things look. Would you give us -- the issues you've seen in the third and fourth quarter, all of your businesses [ph] are also susceptible to weather issues. Is that guidance now sort of something that you're looking at with weather in mind?
Jose Ramon Mas: Tahira, I think we've done a good job over the course of the last couple of years of doing what we say we're going to do. It's a very important part of how we think going forward. It's putting out numbers that we think are very achievable, and I think we've demonstrated that over an extended period of time. We're obviously very disappointed with the message that we're obviously putting out for Q4 and what it means. So we've absolutely looked at not only Q4 but 2012 in a way in which we much rather be on call as we were telling you how well we're doing and how we're beating the numbers that we've put out rather than having to explain why we were going to miss something. So we've absolutely taken that into account.
Tahira Afzal - KeyBanc Capital Markets Inc., Research Division: Okay. José, you've been very candid with us on this call, and in the past you've been very helpful. You'd also expressed a lot of confidence that the productivity issues you essentially faced on the wireless side are going to be addressed. Could you provide us a little more color on how -- what you're doing internally to really address those issues, perhaps organizational changes or change in performance incentive, etc.?
Jose Ramon Mas: So I'll give you a little bit of color on that, Tahira. We're obviously in the middle of a negotiation with AT&T, so I don't want to talk too much about the business in particular other than to say we had our challenges. We had challenges in specific markets we know exactly the areas that we need to fix. We've taken very strong measures to improve that already. So I think that if you looked at our full year and as the quarter ramps, the business actually improves from the beginning of the quarter to the end of the fourth quarter. So I think that they're very identifiable things that we're doing that I think are going to have a direct impact to margins right away, and we've made a lot of changes internally in the organization that we think make that happen. So again, some of the reason for our confidence and some of the reason that we think we can get back to the margins that we've historically achieved in that business are because we know exactly what the problems are, we think the problems are fixable and we've already taken actions to fix them. So it's not like we're having to identify what's going on or uncertain about what's happening or not really sure how to fix them. We think we've figured it out. We know what the problems are and we've either addressed them or deepen the process of addressing them.
Operator: And we'll go next to Theodore O'Neil with Wunderlich Securities.
Theodore R. O'Neil - Wunderlich Securities Inc., Research Division: So I was wondering if you could give us a little bit more color on the 2012, the 35-state generator work that you've got.
Jose Ramon Mas: So we were rewarded a project earlier this year. It's obviously a generator rollout project. We will be installing generators on different cell sites. The project is estimated to be about a 4-year project. It had a very slow kickoff in 2011. We did some planning work around it. Work will accelerate into 2012 and then really start to build in '13 and '14. So '12 is going to be a much bigger year than 2011 in that project, '13 gets bigger and '14 and '15 stay strong.
Theodore R. O'Neil - Wunderlich Securities Inc., Research Division: Is this upgrades to existing generators that are there or places where there's just not -- there isn't any kind of backup?
Jose Ramon Mas: Well, it's mostly the installation of generators on sites that didn't have them, although there are some replacements of existing generators.
Operator: And we will go next to Adam Thalhimer with BB&T Capital Markets.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: I want to ask first on BlueFire. On Monday, they announced Chinese financing. Are we getting closer to the point where you're going to put that $300 million contract into your backlog?
Jose Ramon Mas: Well it's obviously great news. We're excited for BlueFire. We continue to work with them very closely on what they're trying to do. It's a big piece of the puzzle. They obviously still need their loan guarantees from the government. That process obviously slowed down what happened with Solyndra. We think they're making progress there. We think we're starting to see light at the end of the tunnel. Although the announcement on Monday doesn't necessarily make it a green light tomorrow, but it obviously makes it a lot closer to getting a green light. We are under contract on that project. It is our project. We don't expect that project to be rebid. We've got a good relationship with them. We're working and helping them in every possible way we can to make that project become viable and come to fruition, and we feel better and better about it every day. And we're not going to put it into backlog until they've got a green light, it's done, it's fully funded and we're ready to start work. But we're a lot closer to that today than we were in our last call.
Adam R. Thalhimer - BB&T Capital Markets, Research Division: Good. I also wanted to ask about 2 smaller pieces of your business, but pieces that seem to be turning around where the outlook has improved kind of for the first time in 3 years. Wireline, communications and distribution. Qualitatively, how do you feel about those businesses as you look forward to 2012?
Jose Ramon Mas: Well, they're still businesses that are very challenged. When you look at maintenance spend per se, which is the predominant nature of those businesses, have been -- it's flat. When you look at historically, those businesses were carried by new housing construction or the expansion of plan in the new subdivisions. That business still has not come back. So I think, fundamentally, they're businesses that are no longer in decline, which is good. They're businesses that aren't necessarily posting big growth rates, either, with the exception of the Wireline business. You've got a pretty aggressive stimulus program out there in the rural side of the business, which is really driving the growth. And we've been successful at it. I think there's a lot of work in the industry. I think that's what's going to drive that business in particular for the next couple of years. As housing comes back, both of those businesses will improve. But until housing does, we're not very bullish on that business outside of stimulus until the housing market comes back.
Operator: And we'll hear next from Noelle Dilts with Stifel, Nicolaus.
Noelle Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Coming back to the [indiscernible] or the troubled projects, I should say, in the Marcellus. Can you talk about the duration of these 3 projects, the original timeframe for them? And then if any of them have entered the loss position?
Jose Ramon Mas: So the projects will -- 2 of the projects are fairly large in size. They're probably just under $100 million a piece. Those are projects -- in one instance, we've actually completed a good amount of the work earlier as the year went on. We're at a phase where we'll complete the second phase of that job, which is what we're working. Another one is more in the startup base, which is why we're kind of pushing out and waiting until the weather and the construction period becomes better for us to be able to get on that job and finish it in a timely manner. Both of those projects should be complete probably early to late second quarter. The third project is an important project for us. It's more of an MSA-type project, where we've got a lot of different work orders. We've been working for that customer for a very long time. It's a very large customer for us in that area. We've done very well with them over a long period. And we're just working on a couple of projects right now that are challenged because of the weather. From a loss position, we did -- the pipeline business had an excellent third quarter. Obviously, our issue isn't that it lost money, but rather we were expecting better margins than what it delivered. So it was more of a margin deterioration, not necessarily a loss position. On some of the projects that we're looking at in Q4, and one in particular, we do expect that project to be in a loss position unless something else changes, which is what we've got into.
Noelle Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then you've done a good job of shifting your pipeline work from the weakness in the long haul market in 2011 into the shale fields. But can you talk about what you're seeing in terms of these longer haul interstate pipeline opportunities in 2012?
Jose Ramon Mas: Yes. So I'd actually like to say 2 things about that. One is, I do think it's important to note that the majority of our pipeline business today is in the shale business. We've been working in shales across the country. We've had tremendous success in the shales. A good chunk, actually, about half of our shale business, was completely unaffected by weather and performed very well in Q3 and will perform very well in Q4. So this is strictly a geographic issue specifically related to the Marcellus Shale. And again, we've had a lot of success in the Marcellus Shale in the past. We don't think it's a pricing issue. So we really think this is a short-term issue related to Marcellus. As we look at long-haul projects, which is obviously another piece of our business, we're very bullish on what's happening in 2012. There's a number of very large projects out there that we've been engaged in. We think we're going to have good success on that side of the business in '12 and beyond, and we're getting excited about that.
Noelle Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then one final question. Given the competitive pressures in the renewable market, are you -- with all this work you're booking now for next year, are you booking that work at better margins than you're currently seeing on the renewables projects or is it still pretty competitive?
Jose Ramon Mas: Renewables margins took a dip in 2010 going into '11 Obviously '10 and 11 were very difficult years in that market from a margin perspective. 2012 for the industry in general is going to be a banner year. A lot of our competitors in that space that directly compete with us have very similar backlog build as we do. So there's a lot of work being awarded right now to a number of players, and pricing has dramatically improved in that business in the last 4 months.
Operator: And we will hear next from Liam Burke with Janney Capital Markets.
Liam D. Burke - Janney Montgomery Scott LLC, Research Division: You had a nice step up in transmission, both organically and then with the EC Source project. How has the bidding activity been in that area?
Jose Ramon Mas: It's been very good. And obviously, we've been able to grow our legacy business. A lot of that business that we do in our legacy business is shorter duration. There's a lot of book and burn, maybe a quarter or 2 out. So it's been a very active market, it's been a very good market and an improving market. From the large project perspective, there are a number of very large projects that are in the bidding cycle. So the funnel is extremely strong right now in both sides of that business.
Operator: And we'll hear next from Alex Cook [ph] with Voyant Advisors.
Unknown Analyst - : Could you guys talk about the increase in headcount and where these employees fully utilized during the quarter? And how do you expect them to be utilized going forward?
Jose Ramon Mas: Sure. So we had a big headcount spike in the second quarter. We hired a couple of thousand people actually going from Q1 to Q2. As we looked at our Q3 headcount adds, it was much smaller. It was relatively flat. I think we added a couple of hundred heads across the different businesses. When we looked at our headcount adds, they're obviously in businesses that have shown dramatic growth. So a lot of the growth that we saw in Q3 we were able to achieve because of the headcount additions that we made in Q2. We're obviously going to rationalize some of that as we look at Q3 and Q4. We have a lot of new bodies that hit the ground. Some of those ended up obviously being very good and some were somewhat inefficient, and we'll go through that and hopefully have a much better workforce as we look forward. But we see -- we saw a spike based on the growth that we were going to expect in Q2 and Q3 and not atypical. That's the time of the year where we go through a larger hiring time in our business. We saw the same thing in 2010 from Q2 to Q3. We added about 1,000 heads, so it's not something that's atypical for us. Now, it's about keeping the right ones and really being in a position to utilize that workforce at a much better level in 2012.
Unknown Analyst - : So I guess if things do slow down in 2012, how fast will you guys be able to reduce the headcount?
Jose Ramon Mas: Well, the headcount is spread out amongst all our different businesses. So a couple of things is -- we're obviously not expecting a slowdown in 2012, and again we think we've got extremely good visibility. We've got growing backlog, for example, in our renewables business. That business will more than double next year based on the backlog that we've got. So we've obviously been hiring in that business, and that headcount in that business is up, and it's up so that we can meet the demands that we're going to have in 2012. In businesses where we might see a slowdown, we've got a lot of flexibility in what we can do with labor, and if for whatever reason, we don't think that the growth is going to be there, we'll adjust our workforce.
Operator: Our next question comes from Veny Alexandrov with Pritchard Capital Partners.
Veny Aleksandrov - Pritchard Capital Partners, LLC, Research Division: The one question that I have left. The 2 projects that are in the Marcellus, are you going to have any penalties because of the delays from the clients?
Jose Ramon Mas: No, because at the end of the day, we expect to meet the schedule, so we're just...
Veny Aleksandrov - Pritchard Capital Partners, LLC, Research Division: So you do expect to be on schedule?
Jose Ramon Mas: Yes, we do.
Veny Aleksandrov - Pritchard Capital Partners, LLC, Research Division: And if you're not on schedule, are there any penalties for delays in the contracts?
Jose Ramon Mas: I think in one there is. I don't think in the others there are. But they're not -- the penalties are very small. So we're not -- we're actually not concerned about that at all.
Operator: And we will go next to John Rogers with D.A. Davidson.
John Rogers - D.A. Davidson & Co., Research Division: If we could just go back to the AT&T for a second. José, you talked about the growth you saw in the third quarter, but you also said you're going to be down $40 million sequentially in the fourth quarter. And I'm just trying to understand why you're confidence of that business then is going to grow again in 2012.
Jose Ramon Mas: Well, I think we've got great visibility into that business. So if we step back into 2010, we fully understood what their build plan was going to be for 2011. And if you go back to our original guidance that we provided at the end of 2010 from a wireless perspective and where we end in 2011, we'll actually beat that. Now it accelerated. The plan was probably built in a shorter duration of the year than we had expected, so we expected to be able to do that build plan over the 12 month period. That build plan accelerated; we did more of the work within the first 9 months. And really the expectation as we were working through that was ultimately AT&T was going to allocate more capital to do a lot of the work that they had planned. That necessarily hasn't happened. We do have a very good understanding of what their 2012 build plan is, and it's a lot bigger than what their 2011 build plan was. So we've got very good visibility into the full year outlook for AT&T. Exactly when they spend the money and how they roll that out over the years, they're still determining that and figuring that out. Obviously, we would already love to be working on a lot of that in terms of starting a lot of the pre-work. We're doing some but not as much as we had hoped. And I think that's probably has a lot to do with where we expect the revenue to be down in Q3 and Q4 versus where we expect it.
John Rogers - D.A. Davidson & Co., Research Division: Okay. It is it your sense -- I mean, I think it was last quarter or the quarter before that you talked about getting more work in new markets for you up in the, I think, was the Illinois area. Is it your sense that you've kept your same market share with AT&T, expanded it, sort of where are you there? And AT&T talks about these major contracts. I mean, are you in the same market position that you've been with them previously or has that changed at all?
Jose Ramon Mas: No, we're in the same markets that we've been in for all year. We had no changes to the market in Q3, and we'll have no changes to the market in Q4. Obviously, we're in negotiations with AT&T on a new contract. That's not finalized, but we'll -- our expectation is that we have a great relationship with them. We expect to continue to grow with them, and we've been really trying to build the business with other customers, right? And I think we've been somewhat successful with that, obviously, with the size of where AT&T has been. It doesn't show on the radar, but we're working for more customers today than we've traditionally worked for or work in the different geographic areas. So obviously, part of it -- part of our expansion in wireless is outside of AT&T and with other customers, and we think the opportunities are there.
John Rogers - D.A. Davidson & Co., Research Division: Okay. Can you mention what those other customers are at this point? Are they on time big enough to do that?
Jose Ramon Mas: We've talked about our desire to grow with Verizon. I think we've made in roads there. We're doing more work for them than we've historically done, although obviously it's nowhere near the scale of AT&T, so doesn't necessarily show up on the radar. I think it's very public out there what Sprint's plans are. And they've awarded the project to more OEMs, and we've been working closely with them to break in and try to do more to work with them. So there's a lot of work out there, there's a lot of second-tier customers that we're working for as well. So just like we worked very hard in diversifying our overall business over the last couple of years, we're working hard at diversifying our business within wireless.
Operator: And we will go next to William Bremer.
William D. Bremer - Maxim Group LLC, Research Division: From the Maxim Group.
Operator: With Maxim Group.
William D. Bremer - Maxim Group LLC, Research Division: Okay. My first question starts with -- give us some update on your large-scale transmission project, the Mona-Oquirrh transmission line and an idea of what you're currently operating now in terms of your capacity in that segment?
Jose Ramon Mas: Well we've said about it all along is that project will -- is a bigger story for '12 than it was for '11. It will go in slightly into 2013, and the project is on schedule.
William D. Bremer - Maxim Group LLC, Research Division: How many miles have you completed at this time?
Jose Ramon Mas: Bill, we're not going to get into specific jobs and where we're at with them. Obviously, there's a lot of customer issues with that, and we're just not going to do it.
Operator: And our final question is a follow-up from Noelle Dilts with Stifle, Nicolaus.
Noelle Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Just a quick follow-up. On the renewables -- I'm sorry. On the wireless side, could you talk about how much of that work is outsourced at this point?
Jose Ramon Mas: We're outsourcing about half of it.
Operator: And that does conclude the question-and-answer session. I'd now like to turn the conference back over to José Mas for any additional or closing remarks.
Jose Ramon Mas: Yes. I just like to thank everybody for participating today. We look forward to our next call on providing a much better outlook on 2012. Thank you.
Operator: And again, that does conclude today's conference. We thank you so much for your participation.